Operator: Welcome to the Entravision Communications First Quarter 2015 Earnings Conference Call and Webcast. [Operator Instructions]. At this time, I would like to turn the conference call over to Mr. Walter Ulloa. Please go ahead.
Walter Ulloa: Thank you, Jamie. Good afternoon everyone and welcome to Entravision's first quarter 2015 earnings conference call. Joining me today is Chris Young, our Executive Vice President and Chief Financial Officer. Before we begin, I must inform you that this conference call will contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ. Please refer to our SEC filings for a list of risks and uncertainties that could impact actual results. This call is the property of Entravision Communications Corporation. Any redistribution, retransmission or rebroadcast of this call in any form without the expressed written consent of Entravision Communications Corporation is strictly prohibited. Also, this call will include certain non-GAAP financial measures. The company has provided a reconciliation of these non-GAAP financial measures to their most directly comparable GAAP measures in today's press release. The press release is available on the company's website and was filed with the SEC on Form 8-K. Overall, the first quarter was a good start to the year for Entravision. We generated revenue growth in both our radio and television divisions, while our digital segment continued to deliver double-digit topline increases. Radio performed particularly well as we believe our results will be among the best in the radio industry this quarter. We generated strong year-over-year consolidated adjusted EBITDA and free cash flow growth and continued to return capital to shareholders through our quarterly dividend. Turning to the specifics, first quarter consolidated revenue was $59.6 million, up 13% compared to the first quarter of last year. Consolidated adjusted EBITDA grew 12% to $16.8 million, while free cash flow was $10.3 million, up 10% compared to $9.4 million last year. Finally, earnings per share were $0.06 in the first quarter. Turning to our segment operating highlights, television revenues increased 5% during the first quarter. This increase reflects approximately $5 million in non-advertising revenue, related to a channel modification made by us to accommodate telecom operations. Excluding the impact of this $5 million fee, total TV revenue was down 9% with local down 11% and national revenue down 8% during the quarter. Core television advertising revenue, excluding political, Affordable Care Act and retransmission revenue, was minus 6%. The automotive category was up 2.3% during the first quarter in our television business, due to an increase of 24% and 14% respectively in Tiers 1 and Tier 3. Tiers 1 and Tier 3 were the driving force in automotive, in part due to significant investments from General Motors, Honda and Mazda. Tier 2 was offset due to decreases from Nissan, Chrysler and Ford. However, we expect Tier 2 to come back in the second half of the year from an 8% decrease in Q1, given the auto industry's prior significant year's investment in World Cup and the value of our live events in the Gold Cup and Copa America Soccer Tournaments. In local TV revenue, Tier 2 and Tier 3 garnered growth of 12% and 13% respectively for the Auto Club category in the quarter. On a combined basis for TV and radio, the amount of automotive category was up 5% across all platforms in the first quarter. While the overall TV advertising market was challenged -- challenging during Q1, we did see growth in the auto aftermarket, travel and leisure, media and other categories and advertisers such as QSR restaurants. During the first quarter, we added 37 new television advertisers that spend $10,000 or more which resulted in approximately $733,000 in advertising revenue for our television business. Notable new advertisers included San Diego Honda Dealers, Compare.com, Enterprise Holdings and Advance Auto Parts, Toyota, Chapman Value Center and San Juan, Jaguar, Land Rover. Regarding our radius performance, our Univision Television affiliates extended their range leadership positioned in the February 2015 sweeps. In early local news, adults 18 to 49, our Univision Television stations beat the Telemundo competitor in 12 of 14 markets. In late local news, our Univision television stations were number one over our Telemundo competitor in 11 of 15 markets. In weekday prime, 15 of our Univision affiliates were the Spanish language broadcast leader. We also lead the Spanish language networks amongst Hispanic adults 18 to 34 and 25 to 54. In Entravision markets combined, our Univision and UniMas affiliates aired eight of the top 10 Spanish language television programs in weekday primetime among adults 18 to 49 in the quarter. Also in weekday primetime, Entravision's Univision television stations have increased ratings over last year among adults 18 to 49 and adults 25 to 54, while Telemundo stayed flat or lost audience. Looking now at our Audio division. Revenues increased 10% in the first quarter compared to last year with local up 10% and national up 9%. We believe our first quarter performance will be among the best in the industry. In fact, our radio station group and audio business performed well above the broader radio industry which is estimated to have decreased 1% during the first quarter, based on Miller Kaplan estimates for the 12 markets to which we subscribe. Our Entravision Solutions Audio Network continued to generate strong results with revenues up 35% during the first quarter. The growth drivers include telecom, retail, [indiscernible] and tune-in media. Our audio network business is the leading platform to connect advertisers with Latinos across the United States. The key driver of our network growth comes from our industry leadership in content, including Erazno y La Chokolata, Alex El Genio Lucas and Eduardo "Piolin" Sotelo, an unprecedented trifecta in any language. Erazno y La Chokolata, one of our top-ranked afternoon syndicated programs currently reaches 84% of the total U.S. Latino market. Alex El Genio Lucas, also a top ranking leading performer across the U.S., reaches a total of 75% of the entire Hispanic markets. And earlier this year we added El show de Piolin to our talent roster. We believe that with Erazno y La Chokolata, Piolin and Alex El Genio Lucas, we have the best one, two, three punch in radio today. Strength of our content offering continues to resonate with our advertising partners. We had a total of 35 Entravision Solution Network advertisers during the first quarter, an increase of 25% from the same period in prior year. The list of top network advertisers making solid investments in our networks this quarter included Sprint PCS, Sears, Macy's, JCPenney, O'Reilly Auto Parts and many others. This quarter also brought new network advertisers to Entravision Solutions, including Budweiser, Metro PCS, Honda, Wendy's, DIRECTV and Burger King. Our [indiscernible] division recorded revenue growth in 8 of our top 10 categories in the first quarter including services, up 14%, automotive plus 16%, travel and leisure plus 14% and healthcare plus 26%. Automotive which is the second highest revenue generating category, as I mentioned was up 16% for the quarter, primarily due to local radio growth of 29% for the auto category or close to $0.5 million in additional revenue. We're pleased to see this level of growth in the first quarter following a year-over-year decline in the fourth quarter. In addition to building a leading content offering, we've also invested in our sales force. Our efforts continued to generate results as well as an expanded base of advertising and marketing partners. During the first quarter, we added 29 new radio advertisers who spent more than $10,000 and which generated approximately $723,000 in advertising revenue. In Los Angeles, our radio station group generated 27% revenue growth during the first quarter. We outperformed the LA market which was down 3.5% in the first quarter according to Miller Kaplan. We also outperformed our Spanish language peers which were down 1% during the quarter, again, according to Miller Kaplan. Our strong performance in the LA market this quarter reflects the programming changes that we made in the second half of last year, as well as the recent addition of El Show de Piolin in January. Jose KLYY is a top 10 station in the crowded Los Angeles radio marketplace and both El Genio in morning drive and will show the Erazno y La Chokolata in the afternoon drive are among the top 10 LA radio programs, regardless of language. And Erazno is the highest rated program amongst Spanish language radio stations in the time period among adults 18 to 49. Also in Los Angeles, the leading Latino market in the U.S., El Show de Piolin on KSSC FM Super Estrella is up 52% in morning drive over the time period's performance in fourth quarter of 2014. The programming changes made to the KSSC in the first quarter have proven extremely successful. Besides morning drive growth with Piolin, [indiscernible] is up 62% over fourth quarter 2014 and LA's Mananitas in afternoon drive is up 45% over the fourth quarter 2014 time period. Overall KSSC is up 52% quarter-to-quarter. Our radio stations continue to be ranked among the leaders in adults 18 to 49 against all competitors regardless of language. In the 10 Entravision markets with winner 2015 Nielsen audio data, nine of our stations are among the top 10 in their markets. In morning drive, six of our stations show the El Genio on Jose stations and three of our stations airing El Show de Piolin are in the top 10. Our cornerstone afternoon program Erazno y La Chokolata is a top radio program in the top 10 in six markets. Now let's turn to digital. Digital revenues were $3.7 million in the first quarter which represented 46% pro forma growth over the same period last year. This marked the 27th straight quarter of year-over-year double-digit revenue growth for our digital business. Digital now accounts for approximately 6% of our total revenues and we expect that percentage to grow in the coming quarters. Our digital revenue growth continues to be driven by Pulpo Media, as well as our fast growing unique portfolio of digital content offerings. Through Pulpo, we can target and reach Latinos nationwide to display video, mobile and social across all devices and platforms and across all levels of acculturation which allows Entravision to deliver the total U.S. Latino market for advertisers. With Luminar and Pulpo, we have built a strong big data management platform which is delivering increased efficiencies with programmatic targeting and yielding optimization tools. Entravision has a clear leadership position in data-driven marketing to connect brands with Latino consumers online and via mobile. Content remains key to our efforts to expand our digital revenues and our online social and mobile audiences. During the first quarter, we published over 12,500 local news stories and videos at our station websites. In addition, we streamed over 6.43 million hours of audio in the first quarter. We also increased our unique monthly audio streamers to 800,000 for the first quarter, 14% above last quarter. We have by far the greatest digital Latino reach with 4.9 million monthly unique visitors on our owned and operated sites, a growth of 44% over the same quarter from the previous year and a new record for Entravision. Also, Pulpo ranked by comScore is the number one digital platform to reach Latinos in the U.S. across all levels of acculturation, a total of 17.5 million unique monthly visitors. Entravision is now the largest media destination for Latinos in the U.S. period. During the first quarter, we also further extended our social media presence. We ended the first quarter with more than 4.4 million social media followers across all key channels. Turning to mobile, we all know we're in a world gone mobile and Latino is clearly over-indexed in mobile media consumption. Digital and mobile-first is our mantra. This focus on digital and mobile is paying off. We're happy to report that one-third of our digital revenue is already derived from mobile and continues to be the fastest growing revenue platform at Entravision. We believe mobile is a natural complement to our audio business. We're adding increased mobile products around our audio streaming. We're launching soon the Pulpo Audio Network. We launched already an all-in-one streaming mobile app that provides access to all our media properties and soon all of our audio affiliates. We're developing individual apps for our monster personalities, Erazno, Piolin and El Genio Lucas. Media buyers see it as a way to extend their audio buy to reach our overall listenership. Mobile also includes our SMS texting operation. We're happy to report we sent over 2 million text messages during the first quarter and usage levels continue to hit all-time highs. We delivered mobile campaigns for advertisers like Honda, Ford, Chevrolet, Toyota, Dodge, AEG, Warner Music Latina, MetroPCS, Rosetta Stone, Wells Fargo, McDonalds, Ticket Clinic and many more. All-in-all, our Digital segment continues to expand its revenue streams and the strategic investments and targeted acquisitions we have made places us in a unique leadership position in the market and are delivering solid returns. We will continue to invest in digital businesses and talent. Today, we're delivering highly targeted and engaged Latino audiences across all media platforms and key demos at a time when the U.S. Latino population continues to expand in both numbers and influence. Turning now to our pacings, so far this quarter our television revenue is pacing negative high teens during the prior year, as we faced difficult comps in both World Cup and political from last year, in addition to a soft national spot television environment. Radio for the quarter is currently pacing in the positive mid-teens with strong performance on both the local and national level. National revenue pacings are particularly strong, as we continue to benefit from our leading content lineup. Although we should note that a good portion of our radio World Cup revenue came from this point forward in last year's Q2. Digital is currently pacing positive mid-teens on a pro forma basis. In summary, we're pleased with our first quarter results. The investments we're making to our radio content is driving industry outperformance and we're making further progress expanding our digital revenues and multi-platform capabilities. We continue to grow our audience shares across all key platforms and today are connecting advertisers with Latino audiences in more ways than ever before. Now, I will turn the call over to Chris Young, our Chief Financial Officer, for a review of our financial information.
Chris Young: Thank you Walter and good afternoon everyone. As Walter has discussed, net revenue for the quarter was $59.6 million, up 13%. Operating expenses increased 11% to $37.2 million and consolidated adjusted EBITDA increased 12% to $16.8 million. During the first quarter of 2015, the company declared and paid a cash dividends of $0.025 per share to shareholders of the company's Class A, Class B and Class U common stock. The total amount of cash disbursed for the dividend was $2.2 million. The company also announced today that the Board of Directors has declared a quarterly cash dividend of $0.025 per share to shareholders of the company's common stock payable on June 30, 2015. The total amount of the cash to be disbursed for this quarterly dividend will be approximately $2.2 million. As previously announced, we currently anticipate making cash dividends on a quarterly basis in future periods. For the quarter, TV net revenue was up 5% to $39.5 million compared to $37.7 million in the same quarter of last year. The increase in our TV segment revenue was primarily attributable to an increase of approximately $5 million of revenue from channel modifications made to accommodate a telecom operator. This increase was partially offset by decreases in local and national advertising revenue, a decrease in political advertising revenue which was not material in 2015 and a decrease in retransmission consent revenue Radio net revenue for the quarter was up 10% to $16.3 million compared to $14.9 million in the same quarter of last year. The increase in our Radio segment was primarily attributable to increases of local and national advertising. Our Digital Media segment generated $3.7 million for the quarter, resulting from the acquisition of Pulpo in June of 2014 which did not contribute to revenues in prior periods. Retransmission consent revenue for the quarter was $6.4 million compared to $6.7 million in the same quarter of last year. The decline was primarily attributable to a one-time true-up payment made to us in the prior year period, coupled with an increase in reverse comp paid to one of our non-Univision network partners in the first quarter of this year. Operating expenses for the quarter were $37.2 million, up 11%. The increase was attributable to the acquisition of Pulpo in 2014 and increases in rent expense, salary expense and employee benefit costs. Excluding non-cash comp expense of $0.4 million, operating expenses for the quarter were $36.8 million, up 10%. TV operating expenses excluding non-cash compensation expense were up 1% and radio operating expenses excluding non-cash comp were up 4%. Digital operating expenses excluding non-cash comp were $2.5 million. Corporate expenses for the quarter were up 3% to $5 million compared to $4.8 million in the same quarter of last year. Excluding non-cash comp expense of $0.5 million, corporate expenses for the quarter were $4.5 million versus $4.2 million in the same quarter of last year, an increase of 6%. Excluding non-cash compensation expense, the increase in our corporate expense was primarily attributable to an increase in salary expense. Cost of revenue, consisting primarily of costs of online media acquired from third-party publishers was $1.4 million for the quarter. Income tax expense was $3.5 million for the quarter, while cash taxes paid was $587,000. Given the elimination of our full valuation allowance in the fourth quarter of 2013, future income tax expense will run at approximately 40% of pre-tax income, although most of this expense will continue to be non-cash given our NOL offsets. Earnings per share of the quarter was $0.06 per share compared to $0.05 per share in the first quarter of last year. Free cash flows defined in our earnings release increased to 10% to $10.3 million or $0.12 per share for the quarter compared to $9.4 million or $0.11 per share for the same quarter of last year. Cash interest expense for the quarter was $3 million compared to $3.2 million in the same quarter of last year, due to less outstanding debt. Cash capital expenditures for the quarter was $3.0 million. Turning to our balance sheet, as of March 31, 2015, our total debt was $339.4 million and our trailing 12 month consolidated adjusted EBITDA was $81.1 million. Cash on the books was $49.9 million as of 3/31/2015. Net of $20 million of unrestricted cash on the books, our total leverage as defined in our 2013 credit agreement was 3.9 times as of 3/31/2015. This concludes our formal remarks. Walter and I now will now be happy to take your questions. Jamie, I'll hand it over to you.
Operator: [Operator Instructions]. Your first question comes from Michael Kupinski from Noble Financial. Please go ahead with your question.
Michael Kupinski: Thanks and congratulations on your quarter that you beat our numbers literally by the amount that you received from this telecommunications company. I was wondering if you can just explain what happened there and if you can give us a little bit more color, the $5 million modification that you got from on the television side from the telecommunications company?
Chris Young: Sure. In one of our markets, we made some technical changes to one of our TV stations to accommodate a telecom operator to launch operations.
Michael Kupinski: Okay, so that's a non-recurring item, right. You are not going to see that in future quarters?
Chris Young: There are potentially other opportunities in the same that we're looking into. So it's not necessarily a onetime event as we see it right now.
Michael Kupinski: And would you anticipate further something like this in the second quarter as well or no?
Chris Young: It's tough for me to say the timing of these types of deals; they take a while to work out. It's highly possible something else could happen within the next three quarters, but it's tough for me peg which quarter.
Michael Kupinski: And literally, none of that's baked into your guidance numbers for the second quarter there. So, it didn't look like expenses would go up as much as one would expect with that type of modification or anything like that. Can you talk a little bit about the television expense side? And, obviously, you did a really good job in managing you expenses. Any inputs for the modification or anything that would be consequence in terms of expenses related to that?
Chris Young: No, there is no expense related to the modification revenue. So, on TV expenses, on a cash basis were up 1% and the only thing that's probably a little higher than in a normal year, is we've got some additional -- some slight additional expenses related to our news production. We got a new news production down in Tier 1, that's raised expenses a little bit. But otherwise, the expenses are pretty normalized.
Michael Kupinski: And then on the digital revenue growth on a pro forma basis, what was it without Pulpo, the acquisition? What was the pro forma revenue growth in the digital side without the acquisition?
Chris Young: I'm going to have to get back to you on that, Michael; I don't think we have the number in front of us.
Michael Kupinski: And then I think in terms of your guidance for the second quarter, you're using the base revenue for Q2 of 2014 in digital. You indicated mid-teens revenue growth. I assume that you're not factoring in the Pulpo acquisition in that guidance, is that correct?
Chris Young: No. We're.
Michael Kupinski: So you're saying that -- I think last year you had about $2.5 million in the second quarter in digital revenues. You are saying that, that you anticipated that digital was going to be positive in the mid-teens?
Chris Young: Yes.
Michael Kupinski: And that includes the Pulpo acquisition that was completed in June of last year?
Chris Young: Correct. Those numbers are included in our prior year numbers.
Operator: Our next question comes from Tracy Young from Evercore. Please go ahead with your question.
Tracy Young : Your 2Q guidance for Radio, I guess that was up mid-teens. What should we expect in terms of expenses, is there some revenue share that you mentioned with some radio personality -- no margins?
Walter Ulloa: There is a portion of the compensation that goes to some of the content is a revenue share, based on -- we don't really guide expenses, but I think previously we've talked about expenses for the year being kind of a low to mid single-digit number for radio, depending on what the variability of the revenue was. And that's kind of consistent with what we're seeing going forward.
Tracy Young: And then should we expect retrans to be flattish for Q2 or is it going to be down again?
Walter Ulloa: No, we're expecting retrans, generally speaking, for the year to be up. We had some one-time offsets for the first quarter or through the first quarter now.
Operator: And our next question comes from Amy Yong from Macquarie. Please go ahead with your question.
Amy Yong: I have two questions. Thank you for providing, the first is on digital. Thank you for providing what digital is as a percentage of revenue and some of the growth drivers that you have there. I guess with all the mobile initiatives that you are putting in place, how should we think about the digital opportunity going forward kind of on a three-year view? And then my second question is on the broadcast incentive auction. Can you remind us on what your stance is and what's kind of next in the process and what do you think you can get from -- or you can benefit from if the auction starts?
Walter Ulloa: Amy, as to your first question about digital growth, I mean certainly we're focusing lot of attention and resources on digital and the opportunity. Our goal is to get to -- that digital become 10% of our total revenue. We think we have a shot at that goal this year, maybe high single digits is certainly possible. And we'd like to see ourselves get to 20% perhaps next year or the year after. So it's definitely top of mind for us. Everything we're looking at today is somehow related to digital. And the second part of question had to do with the spectrum auctions.
Chris Young: The auction and trying to put some numbers on the potential for [indiscernible]. We're in data crunch mode as we speak with respect to the upcoming auction. We've got full-time staff working on nothing but auction. We're looking at potentially participating in the auction and we're also looking at as an opportunity to potentially participate via sharing of our existing facilities with other folks who may otherwise participate in the auction. So, lots of options we're working through. And as far as trying to put numbers on this event, you're still way too far off. We have to wait for the new rules to come out which we're expecting probably in the next 30 to 60 days and once those rules come out that will be another page-turner for us as far as our strategy is concerned. I know that's a long winded non-answer, but that's as best as I can do.
Operator: Our next question comes from Howard Rosencrans from Value Advisory. Please go ahead with your question.
Howard Rosencrans: I'm trying to sort of normalize the TV numbers. If we take out retransmission from the mix, can you tell us where TV ran in the, I guess takeout Olympics or whatever or World Cup? And the second, I'd like to know first and second quarter sort of on an apples to apples core TV without retrans. And then you also made a comment on a retrans decline that I didn't fully understand, but I'd like to understand the advertising side to begin with. Thank you.
Chris Young: Sure, the retrans was down to $6.4 million versus $6.7 million last year. We had a payment that -- we had reverse comp; it went up slightly for non-Univision affiliate that was in Q1 of this year. Last year's retrans number was abnormally high because we received from Univision true-up payments for several periods prior to that. So last year's number was abnormally high, this year's number was slightly lower than where it normally is.
Howard Rosencrans: So the total adjustment was $300,000 downward?
Chris Young: And we're expecting to see growth out of that revenue segment for the foreseeable future. So just had a one quarter kind of hiccup there on that front. As far as normalizing revenue for Q1, if you took out that -- you take out the one-time service agreement that we mentioned at the beginning of call, your total ad revenue for TV was a minus 9. If you exclude political and non-returning Affordable Care Act money, you get to a core number of minus 6. And then for Q2, if you take the total pace we talked about being in the negative high teens and you exclude political and the World Cup you're talking about core revenue growth right now is in the negative high single digits for the TV segment.
Howard Rosencrans: Can you give us little more color on, as to what -- certainly the English speakers didn't registered black ink across the board. Can you give us some more color there?
Chris Young: Sure, I guess for Q2 what we will say is, I'll just give you the categories that are producing the drag as far as the Q2 momentum is concerning. You've got some spenders with us last year in Q2 on the media front that have pulled back significantly, you've got services which is basically political advocacy, insurance companies and legal firms that are showing slight declines over prior year. You've got some challenges in telecom, particularly with two larger telecom ad spends that we had at this point last year that aren't looking as strong as they did this point last year. And then you've got retail which is soft as well. I think the bottom line takeaway is the World Cup was a strong distortion with respect to traditional media spending trends in Spanish last year and we're going to have to ripple through that here through Q2. It's unique to us, because really no one else had World Cup to contend with last year. It is our Super Bowl, it only happens once every four years and we're now in kind of that hangover quarter against it and we'll just have to cycle through it. I will say that the trends that we're seeing for the second half of the year are significantly better than what we're seeing for the first half of the year.
Howard Rosencrans: But just to get some more color on this -- when you're talking about the minus 9% from the second quarter, that your ex-ing out the World Cup and political and whatever else, so that's sort of an apples-to-apples. You mentioned a decline in -- if I got the word right, you said spenders, I don't know if you had -- who you were referring to. You said telecom and retail, you cited in particular. Where the other categories outside it that are meaningful to you that were particularly weak outside of telecom and retail?
Chris Young: No. The categories that I went through, media, services, telecom and retail those are the big ones that we're having to cycle through.
Howard Rosencrans: And if I remove telecom which is particularly cyclical or not cyclical, particularly lumpy, if I remove telecom, any sense of how we fell then?
Chris Young: I don't think any one category of the five that I mentioned are really -- you take one away, I don't think the picture materially changes. This isn't being skewed by one of those five categories.
Howard Rosencrans: And then I'll continue with one more question. You just expressed some optimism in the second half. How much visibility do you have to the second half? Can you put some more color behind that, please?
Chris Young: Sure. It is early, but we're seeing radio pace exceed that of what we talked about in second quarter radio paces beyond the 20% range. So that's always good news although it is early. And we're seeing core TV right now pacing in the flattish to low single-digit range for third quarter.
Howard Rosencrans: I'll throw in one more. And, if we were to engage, what sort of margin if we -- before corporate -- do you have a standalone margin on the digital side?
Chris Young: No. What we've guided for the year, Howard, is $1.5 million in cash flow against a top line number. We've got a topline number in the high teens.
Howard Rosencrans: But the cash flow from the digital business is about $1.5 million?
Chris Young: Yes, yes, it's correct.
Operator: Our next question comes from James Dix from Wedbush Securities. Please go ahead with your question.
James Dix: Just two things, I guess first on the ad front, are there are any macro things that we should be thinking about, either from a perspective of regions or perhaps certain things which you think are affecting demand for advertising for the Spanish language market in particular as distinct from English-language which you think we should be thinking about as we think about TV and radio ad growth, both in the second quarter and then as you move into the back half of the year? And then I had a second one just on programming heading into the upfront, but I'll stop with that first one.
Walter Ulloa: James, the only thing I would say about the macroeconomic environment is that our local business is certainly performing better than national. There is a softness in national right now that we're certainly working on and figuring out ways to improve. Our digital business continues to do well, but we need to put more emphasis on, well, we're putting more emphasis on national. The macro, there could be some movement of national revenue to digital. We feel that we're in a unique position to address any migration of broadcast revenue to digital, because of our digital assets. So, we continue to certainly to put more emphasis on national digital and to strengthen that effort as we move through the year.
James Dix: And just following up on that, I mean something we'll talked about the impact of low oil prices for various reasons and potentially affecting employment in some regions, but more generally, potentially boosting consumer demand. Have you heard anything in your markets either locally or nationally that that's having any impact on the advertisers' willingness to target your audiences?
Walter Ulloa: I think just geographically Texas as a region for us has slowed down a little bit. I think that's in part a reflection of what's happening with the economy down there and how sensitive it is to the price of oil.
James Dix: And then just my other question is on programming, as you go into the broadcast upfront weeks, is there anything sitting from your position is a very large part of Univision's distribution, any important content trends which you would call out for investors who might not be following them maybe as closely as you do and things which you're looking for from the upfront, the news schedules. I'm thinking in terms of particular types of expected programming or the importance of sports. I know that time shifting is not as much of an issue for your demographic, so that's one of the issues you don't have to worry about as an affiliate. But are there any things which you're looking for as you're going into the new season, either from Univision in particular or just to respond to competition from Telemundo that you think we should be thinking about?
Walter Ulloa: Well, I think that the novella genre format will continue to be the core of Univision's primetime programming as we move into 2015, 2016. But I think within that genre, we might start to see at least what we've heard is novellas that are more action oriented that seems to be a theme that is being worked on by the content producers.
Operator: [Operator Instructions]. Our next question is a follow-up from Michael Kupinski from Noble Financial. Please go ahead with your follow-up.
Michael Kupinski: I kind of want to go back to the telecom opportunity that you guys had in the quarter. Had you identified the revenue opportunity for future telecom deals? I know that you indicated that there could be some to come, but I was just wondering if you can kind of give us a framework of what you might see in terms of total revenue opportunities if you have other stations that modified for this telecom operator?
Walter Ulloa: Michael, to answer your question, we haven't yet identified what the potential for additional revenue from these telecom collaborations that I just described. But we do believe there is potential, but we can't -- we can't identify what that number might look like.
Michael Kupinski: And then I was wondering if you have any updates in terms of your discussions with Univision on your proxy, the retrans negotiations, any progress there, any timetables when you think that -- are you kind of nearing something or where do you stand with the discussions?
Walter Ulloa: Well, we continue our discussions with Univision. I would say that right now they certainly are focusing more on these issues than in the past, we're too. So we hope to be able to arrive to some agreement here in the future.
Michael Kupinski: In terms of your retransmission opportunity, do you think that it would be in the best interest of the company to kind of take back the negotiations to negotiate your own retrans or do you think you're more likely to kind of keep the kind of the similar process that Univision negotiates the retransmission for you?
Walter Ulloa: We continue to believe that working closely with Univision through our proxy is the way for us to proceed forward with the MVPDs. We certainly believe that that partnership certainly is cohesive and provides us to present the MVPDs with better information. So, our hope is that this arrangement that we have with Univision that this now over six years old will continue.
Operator: Ladies and gentlemen, at this time I'm showing no additional questions. I like to turn the conference call back over to management for any closing remarks.
Walter Ulloa: Thank you everyone. This concludes our first quarter 2015 Investor Call. We look forward to talking to all of you when we announce our second quarter results in August of this year. Thank you again.
Operator: And ladies and gentlemen that does conclude today's conference call. We do thank you for attending. You may now disconnect your telephone lines.